Operator: Good afternoon and thank you for attending today's Planet Labs PBC First Quarter of Fiscal 2023 Earnings Call. My name is Jayson and I'll be the moderator for today's call. All lines will be muted during the presentation portion of the call with an opportunity for questions and answers at the end. [Operator Instructions]. I would now like to pass the conference over to our host, Chris Genualdi, Vice President of Investor Relations.
Chris Genualdi: Hello and welcome to Planet's first quarter of fiscal year 2023 earnings call. Before we begin today's call, we'd like to remind everyone that we may make forward-looking statements related to future events or our financial outlook. Any forward-looking statements are based on management's current outlook, plans, expectations and projections. The inclusion of such forward-looking information should not be regarded as a representation by Planet that future plans, estimates, or expectations will be achieved. Such forward-looking statements are subject to various risks and uncertainties and assumptions as detailed in our SEC filings, which can be found at www.sec.gov. Our actual results or performance may differ materially from those indicated by such forward-looking statements and we undertake no responsibility to update such forward-looking statements to reflect events or circumstances after the date on which the statement is made or to reflect the occurrence of unanticipated events. During the call, we will also discuss non-GAAP financial measures. We use these non-GAAP financial measures for financial and operational decision making and as a means to evaluate period-to-period comparisons. We believe that these measures provide useful information about operating results, enhance the overall understanding of past financial performance and future prospects, and allow for greater transparency with respect to key metrics used by management in its financial and operational decision-making. For more information on the non-GAAP financial measures, please see the reconciliation tables provided in our press release issued earlier this afternoon.  Further, throughout this call, we provide a number of key performance indicators used by management and often used by competitors in our industry. These and other key performance indicators are discussed in more detail in our press release. On today's call, we will also be discussing our backlog of contracted revenue. Although our backlog reflects business that our management considers to be firm, please note it is also a forward-looking metric. And any termination, amendment or cancellation of contracts or awards may occur which could result in a reduction in our backlog.  Before you jump in, I'd like to encourage everyone to reference the slides we have posted on our Investor Relations website, which are intended to accompany our prepared remarks.  At this time, I'd now like to turn the call over to Will Marshall, Planet’s CEO, Chairperson, and Co-Founder. Over to you, Will.
Will Marshall : Thanks, Chris. And hello, everyone. I'm excited to share with you our results for the first quarter of fiscal 2023, including some additional detail on recent announcements, our outlook for the business, and some perspective on the growing demand for our data.  Starting with a quick summary of our Q1 results. These were strong across the board. We achieved $40.1 million in revenue, which represents a 26% year-over-year growth and continued acceleration of our top line. We expanded first quarter non-GAAP gross margins to 45%, up from 41% a year ago, a significant uptick, continuing our progression towards SaaS-like margins. We also added a diverse group of customers to the business and ended the quarter with 826 unique customers.  In short, I'm incredibly proud of the superb execution of our teams during the quarter. And as you'll hear from Ashley shortly, we expect this momentum to continue throughout the fiscal year 2023.  As we shared on our prior call, we're seeing significant demand for our data across government and commercial markets, which we believe has accelerated in part due to recent global events as well as broad secular trends.  Planet’s data subscription business addresses many critical challenges faced by companies and countries around the globe, as climate change and geopolitical security remain on center stage.  Rising concerns around global food security touch two of our top vertical markets, agriculture and defense and intelligence. And in general, sustainability and security are increasingly intertwined, driving demand in other key markets, including civil government, energy and finance.  Planet’s data is enabling better decision-making and outcomes for customers in crucial areas, whether increasing profitability in commercial segments or meeting critical security and policy objectives in government.  During Q1, we saw a record number of new deals that were both generated in and closed within the quarter, a positive signal for growing market awareness and the general urgency around the demand for our solutions.  Turning to recent announcements. I'm sure many of you have heard last month that Planet has been awarded a contract for the Electro-Optical Commercial Layer or EOCL opportunity by the National Reconnaissance Office, NRO.  The EOCL award is Planet's largest contract to date, and we're thrilled to have been awarded a firm fixed price contract of $145.9 million in the initial period of up to five years, of which $89 million is for the first two years. This initial award significantly increases our revenue visibility by almost doubling the backlog of contracted revenue as we had on April 30. Through EOCL, Planet will supply planet scope monitoring, sky set tasking, and archive access to the US government.  The procurement vehicle is structured to the give NRO flexibility, for instance, to purchase additional products or packages throughout the lifetime of the contract, to exercise options, and execute change orders that can expand the scope of our partnership, as well as to extend the contract for up to 10 years.  EOCL is the largest commercial satellite data procurement in history, an industry defining vehicle for unclassified and shareable commercial satellite imagery. It represents the US federal government's significant investment in and commitment to the commercial remote sensing sector.  We at Planet have long held the conviction that unclassified commercial satellite imagery not only equips the government with differentiated and innovative intelligence capabilities but also increases transparency that advances global security as well as trust between governments and citizens. EOCL is [this conviction] (ph) realized. We're proud to have been selected by the NRO and are focused on delivering excellent services to the government for this contract and beyond.  Let me turn now to our work in Ukraine. As we mentioned last quarter, we are supporting critical efforts in three key areas: to provide imagery to governments, aid and relief organizations, as well as data analysts and the media. We continued that important work in Q1 and it has remained a high priority for our team.  To share some examples of how our products have been used, let me focus on one area of humanitarian operations. We are working with and supplying data to nearly 30 NGOs and intergovernmental bodies who are supporting a number of humanitarian operations in Ukraine. These include civilian evacuation and planned demining operations, conducting building damage assessments, tracking alleged human rights abuses, and trying to mitigate and measure impact to food supplies.  Part of this work also includes collaborations within the private sector as new AI and machine-learning platforms that sit on top of our satellite data and generate insights in new ways.  Similarly, we're also seeing a number of government and commercial customers expanding their work in new geography or applications, particularly in measuring impact on global supply chain and food security by surveying other region’s crop yields to predict commodity pricing or to explore insurance and financial security for farmers.  This leads me to some of our recent announcements in the commercial sectors we serve, and we are particularly pleased with the growth and momentum we saw in the agriculture market in Q1.  As an example, we recently expanded our contract with Bayer, a leading international agricultural company, to develop digital solutions to support sustainable agriculture and drive supply chain efficiency. They're using Planet’s Fusion data, as well as high resolution Skytec data, which can help to better understand historical and in-season performance and empower their data scientists to generate valuable insights that have the potential to support production globally.  Sustainability continues to be an area of focus across commercial sectors. As many of you have seen, we announced in Q1 that we've entered into an agreement with Moody's to explore and address the growing demand for assessing and monitoring ESG risks. Our partnership will explore how our high cadence geospatial data can be leveraged to further refine Moody's existing offerings spanning ESG, know-your-customer, supply chain, and commercial real estate through real time insights.  As you've heard from us before, we think our data can help to improve the quality and consistency of ESG measurement and reporting, ultimately leading to better accountability and management of Earth natural resources.  On the civil government side, during Q1, we signed a 12-month contract with the Natural Resources Canada, the Department of the Canadian government responsible for energy, minerals and metals, forests and other natural resources, as well as Earth sciences, mapping, and remote sensing. They plan to use Planet’s data to support their emergency geomatics services and other programs to provide critical near-real-time information to Public Safety Canada and emergency responders during icebreaker and flood events.  So as you can tell, we continue to serve a wide range of customers and use cases across the government and commercial sectors. We believe that the broad diversity of our customer base and our commitment to building solutions aligned with our one-to-many business model differentiates us from the competition. Turning to product updates. Just ahead of the GEOINT conference in April, we released details about Pelican, upcoming next generation high resolution satellite fleet. Pelican is expected to meet the evolving needs of customers who want real-time information about global events as they unfold, from floods and wildfires to political conflicts and threats to human rights.  As we shared, Pelican satellites are designed to deliver up to 30 centimeter resolution imagery, reduced latency and rapid revisit, 12 times per day globally and up to 30 opportunities in mid latitudes, an unprecedented revisit rate. As with all satellites designed at Planet, we are targeting a payback period of one year or less for the Pelican, a reflection of our cost efficient agile aerospace capabilities. In summary, Q1 was a terrific quarter, in which we demonstrated strong execution, evidenced by our results across the board. We continue to see growing demand for our unique solutions in multiple end markets, driven by recent global events in support of secular trends. We expect this momentum to continue going forward.  With that, I'd now like to turn over to Ashley, after which we'll have some time for Q&A. 
Ashley Fieglein Johnson: All right. Thank you, Will. And thanks, everyone, for joining today. As Will mentioned, our revenue for the first quarter of fiscal 2023 ending April 30 came in at $40.1 million, which represents 26% year-over-year growth. Top line growth has been accelerating as expected, and we're seeing the investments that we're making across the business drive clear results. Our sales and customer success teams continue to execute well, which is reflected in our key performance metrics.  Our end-of-period customer count grew to 826 customers, which represents 23% year-over-year growth. As you've heard on our prior calls, as well as today, our customer base spans a wide variety of industries and powers a diversity of use cases. We continue to see strong momentum in the form of contract expansions with our larger accounts, some of which we've discussed on today's call.  We closed the quarter with a net dollar retention rate of 105%, both including and excluding win backs. Please note that this metric does not include the expansion with the US government for the EOCL contract award, as that was signed in our fiscal Q2. This net retention rate represents a strong start to the fiscal year and is more than 10 percentage points higher than the retention rates we reported for Q1 last year. We anticipate that this metric will continue to expand over the year as we see the returns on the investments we have made in both our products and our global customer success teams. These investments enable us to achieve shorter time to value for our customers, as well as increase the ease of use of our solutions, which ultimately makes Planet's platform even stickier than it is today.  As a reminder, we report net dollar retention rate as a percentage of ACV generated by existing customers in the period as compared to the ACV of all contracts at the beginning of the fiscal year from the same set of customers. Please see the accompanying slides in our investor relations website for more detail on how we measure net dollar retention rates.  Turning to gross margin, we expanded our non-GAAP gross margins to 45% for the first quarter of fiscal 2023 compared to 41% in the prior year. The expansion of gross margins continues to be driven by the growth of our top line, the efficiency of our industry-leading agile aerospace approach and the fundamentals of our one-to-many data subscription business model. We expect gross margins to continue to expand meaningfully in the years ahead as we scale.  Adjusted EBITDA loss was $16.3 million for the quarter, in line with our guidance range. As shared previously, we are investing in our teams across Planet to meet the increasing demand for our solutions and our obligations as a public company.  Capital expenditures for the quarter, including capitalized software development, were $3.5 million or approximately 8.7% of revenue, also in line with guidance.  Turning to the balance sheet, we ended the quarter with $484 million in cash, which we believe provides us sufficient capital to invest behind our growth accelerating initiatives. From our perspective, we are well positioned to grow through cash flow breakeven and have a clear path to profitability.  As we turn to guidance, I'd like to underscore the high level of visibility that we have because of our subscription business model. Percentage of recurring ACV was 92% of our book of business for the first quarter. Additionally, over 90% of our customers sign annual or multi-year contracts, with an average contract length of approximately two years weighted on an annual contract value basis.  At the end of Q1, our remaining performance obligations were over $152 million, of which approximately 71% applied to the next 12 months. With the award that we received for the EOCL contract, our long-term visibility for the business has increased, as this one award almost doubles our current backlog. With this enhanced visibility to our revenue, we are tightening the ranges previously provided for fiscal 2023 guidance.  Looking ahead to the second quarter, we expect revenue to come in between $41 million and $43 million, which represents growth of 38% year-over-year at the midpoint. We expect non-GAAP gross margin for Q2 of 44% to 46%. Our adjusted EBITDA loss for the second quarter is expected to be between negative $16 million and negative $18 million. We expect capital expenditures of approximately $5 million to $6 million, which represents 12% to 14% of revenue. As mentioned, for the fiscal year ended January 31, 2023, we're tightening our range and expect revenue to be between $177 million and $187 million, representing 35% to 43% year-over-year growth, approaching 40% at the midpoint, an increase from our last forecast. This is significant top line acceleration on a year-over-year basis, more than double our revenue growth rate of the prior year. We expect our non-GAAP gross margin to be between 47% and 49%, an improvement of approximately 10 percentage points year-over-year.  Our adjusted EBITDA loss is expected to be between negative $60 million and negative $70 million. We're tightening the range for EBITDA even as we continue to invest to meet the market demand for our solutions and strengthen our operations as a public company.  We continue to expect CapEx to be approximately $20 million to $25 million, representing approximately 11% to 13% of revenue.  Finally, I'd like to let everyone know that we are planning to host an Investor Day on October 12, 2022. We expect that it will be live in San Francisco as well as webcasted. Our Investor Relations team will provide more details in advance of the event. So, please save the date.  All in all, we continue to execute well against our plan as shown by the strong results across the board. We are confident in the growing demand for our data and the value that we can deliver to our customers. And we are fortunate to have a high degree of visibility in our business model, which has increased with the landmark EOCL award.  Operator, that concludes our comments. We can now take questions.
Operator: [Operator Instructions]. Our first question comes from Ryan Koontz with Needham & Co.
Ryan Koontz: How should investors think about the EOCL award relative to your trailing revenue for this customer set? Can you give me some color there? 
Ashley Fieglein Johnson: It, obviously, was an exciting reward. It was at the higher end of our expectations and was a meaningful expansion for us. So, we don't provide the specifics typically on our customer revenue or revenue by customer. But because the contract will go into our backlog, we've provided that level of detail with respect to the award.
Ryan Koontz: If I can just get a quick follow-up. Any color on your go-to-market expansion activities in terms of sales ads, what's labor pool looking like right now, and new processes you're putting in place, can you give us an update on that side as well?
Ashley Fieglein Johnson: There's actually a lot of exciting work going on across the sales team around the globe. So, for example, we've talked in the past about the fact that a lot of our sales activity is just in response to inbound demand. But we've been investing in our SDR teams globally to complement the inbound demand with a lot more focused outbound marketing activity, which we believe will continue to drive our pipeline growth, which was strong in the quarter. And in terms of sales headcount, we've been hiring at all levels and in all parts of the sales organization. So we're on track to some of the metrics that we talked about at analyst day in terms of – we wanted to reach at least 46 ramped reps by year end and we're on track to definitely meet and likely exceed that number.
Operator: Our next question comes from Jeff Van Rhee with Craig-Hallum Capital Group.
Jeff Van Rhee: Congratulations on the EOCL. Couple for me. You mentioned the pipeline growth. Maybe you could put a little finer point on it. Can you quantify the dollar value growth year-over-year and any notable compositional change in terms of what's in there?
Ashley Fieglein Johnson: So, dollar value growth on pipeline, we didn't break that out this quarter other than to say it's strong upward take in all geographies. And I'm sorry, I forgot the second part of your question.
Jeff Van Rhee: Any compositional change in the pipeline?
Ashley Fieglein Johnson: No. I'd say actually – one of the comments that Will made in his prepared remarks was about the fact that we saw some acceleration in close rates on deals. So in terms of deals that came into the pipeline in quarter and actually closed in quarter, we saw a pretty significant uptick on that front, which just speaks to the fact that we're really seeing the product market fit across the board. Obviously, there's a lot of relevance to our solutions in things that are kind of top-of-mind for both government and commercial customers around the globe, whether that's some of the global security concerns that we've seen in the Ukraine or some of the secondary and tertiary effects of it, whether that's supply chain or energy costs or things like that. So, I'd say it's across all vertical markets. And it's really just seeing that momentum continue.  I don't know if you've got more to add on that, Will.
Will Marshall: As we said, obviously, we're very pleased with the EOCL award and the government business, but at the same time, the civil government business has been expanding. And as I've mentioned in my remarks, the agriculture business has been very strong this quarter too. We mentioned the Bayer partnership. I can also mention there's a couple of others. We had two new customers. One is Leaf, an agriculture data infrastructure company that's pretty cool. FarmQA was another customer in the ag space. They're using our data to help monitor crop developments, to detect crop health issues. There's some really exciting ones in the ag space. And so, we're seeing acceleration there. So, it's across the board.  I'm very pleased with the sales team’s execution this quarter. It's just been fantastic. And this growth in acceleration has just been exactly on track as we had planned.
Jeff Van Rhee: One last if I could sneak it in. I hate to split hairs, but, actually as it relates to the guidance, obviously the midpoint is being tweaked modestly higher. The high end of the range was $190 million. You pulled the high end of the range down to $187 million. Let me split hairs for a second. In terms of pulling that down, what would account for a scenario where the high end comes down slightly?
Ashley Fieglein Johnson: Basically, it came down to the timing for when the EOCL contract went into effect. So, because that date slipped a few months, even though it came in at the higher end of the range, you saw the kind of two competing effects. So, as you noted, we did bring up the midpoint. And we're obviously excited because having that award locked in enhances our visibility, not just for this year, but for next year. But those are kind of the puts and takes that you saw going into the guidance update.
Operator: Our next question comes from Mike Latimore with Northland Capital Markets. 
Mike Latimore: Very nice to see the growth acceleration here. In terms of the sales cycle, it sounds like it's shrinking, just to be clear. Is it shrinking outside of kind of the Ukraine influence as well?
Will Marshall: I think so. Just firstly, I'm very happy with the growth acceleration to your comment there. Obviously, 16% year-over-year last year, and it went up and up, and we're forecasting it to go up again, in both meaningful steps. So, we're very proud about that. Yeah, we did mention on the speed there that we have had more customers this past quarter started and closed in the quarter. We're very, very happy with that sort of pace. I think some of it relates to Ukraine. It’s a little bit hard to parse it out. But, certainly, the Ukraine situation is, of course, pushing demand on the defense and intelligence sector. I will just note out as well that this is now becoming a significant food security crisis and we're tracking that with NGOs and also with our agriculture customers. And so, this is now affecting pretty much all of our sectors, but especially agriculture and defense and intelligence, and so we see it affecting Planet’s business across the board and largely in positive ways. Not that we're trying to exploit that situation, but it is a global security situation that is leading to more urgent need for our data.
Mike Latimore: Any just qualitative update on VanderSat and these kind of three variables you announced in April? How are they getting kind of woven into the demand here?
Will Marshall: Yeah, very, very pleased with that team and its performance. It's been great cultural synergies with our team. So that's the first point. It's always an important point. Also, I've been on a number of sales trips with our team. We've got an excellent sales team. And we can see already the value proposition for our customers. We've had some joint customers, and we can see how they're pulling together these capabilities. And we're seeing the interests. It's definitely one plus one equals three sort of situation when we combine their passive microwave data with our electro optical imagery data. It's complementary, and the customers are already seeing that, especially in agriculture and agriculture insurance. So, yeah, pretty cool. And we'll continue to look for great M&A opportunities to accelerate our products, our business and bring in great teams like VanderSat.
Mike Latimore: I guess on M&A, how is the environment and how are seller expectations at this point, given the market pullback here?
Will Marshall: Overall, we still believe the Planet is the natural consolidator in this space, and we're looking for excellent opportunities as, again, like VanderSat that are really great teams and complementary products and services to add to customer needs. So, we continue to do that. Obviously, we take into account the economic situation and thinking about these things, but we continue to see opportunities there, and obviously update you when anything becomes real.
Operator: [Operator Instructions]. Our next question comes from Chris Quilty with Quilty Analytics.
Chris Quilty: Just want to follow up on that M&A direction. When you look at the opportunities out there, do you think your needs are primarily on acquiring people in some cases through acquisition or software or are there things on the hardware side, given some of the future efforts you've got ongoing?
Will Marshall: Well, all of the above, but I would say that the biggest focus is on the software side to help us going up the stack. Obviously, we'll look for business acceleration and teams. And that's sort of intricately related all of it. And we won't shy away from datasets. Obviously, in some sense, VanderSat talks to a little bit of that. It was more the analytics, but they bought a new data set through that analytics in a way that was complementary. So we'll look at that too. But I would say software is the biggest focus.
Chris Quilty: And follow-up on Ukraine, did you see any meaningful uptick in the quarter that you can measure that may or may not be repeatable in terms of short-term versus long term contracts? And in terms of activity that you've seen, is it fair to assume it's heavily weighted towards the defense and Intel customers or are you seeing demand from other users and applications also?
Will Marshall: Well, it's hard to pull everything out. But let me just say that broadly, again, we're seeing a lot of demand there. We have had new customers come in and pretty fast. And so, we definitely had a number of cases where the customers that we have been talking to for a while, and then they came on board pretty quickly during this time. So that's that. But it's not just D&I. Per my earlier comment, this is really affecting civil government, with NGOs, with refugees and then, of course, food and food security, which talks to agriculture, as well as civil government, as well as NGOs. And there's some really incredible work being done on assessing the food crisis in Ukraine affects the supply chain. You've seen it even in the press, some of where we've exposed the attacks by Russian forces on grain infrastructure, which is actually illegal under international law, as I understand it, and so that has been reported out in terms of our way in which we're holding all sides accountable in this situation. But that also affects that food security. So, the food being grown there, the transportation systems, the storage systems, and ag companies are interested in that as well as the governance. So, it's driving demand across the board.
Chris Quilty: And final question on the Pelican initiative. Appreciate the information you've put out on that. Have you seen, given current supply chain issues, any challenges that might either impact the timing or cost of that effort? And one specific follow-up, just relative to the new capabilities that brings online, do you anticipate either significant new investments in capabilities or software or specific sales forces to basically target the customer set that would be most interested in that higher resolution imagery?
Will Marshall: To the supply chain, there's no major impact. We have seen issues with some of our supply chain pieces, but very little. And one of the advantages of our agile aerospace approach is that, because we’re building the satellites in-house, there's two options for that. One is we can continually look at different supply chain vendors, look at alternatives for different components, and that ensures that we have redundancy. A second thing is that we can often stockpile, we do stockpile critical components. We're not producing these satellites in large numbers. And so, of course, stockpiling is not crazy. And so, we do some of that. And just to the latter question, again, another advantage of our agile aerospace approach and having the satellites being built in-house is that we can flex how many satellites we build and launch to the demand that we see. And so, that's certainly applicable to the Pelican series.  Was there another aspect to your question? I'm not sure if I answered it all.
Ashley Fieglein Johnson: I think one of the questions you had was about whether we need to hire specialized sales teams. And I'd say we've been investing both in our government teams, both on the federal side, domestically and internationally, as well as the civil government side, and then also in our global strategic accounts. Because, remember, we're building systems that are not simply designed for government or defense and intelligence use cases, but rather more broad commercial use cases as well. And so, we've really been adding the sales teams across the board.
Chris Quilty: Maybe it was an inartful way to ask the question, but within your existing customer base, do you have a good sense of what sort of uptake for 30 centimeter imagery there might be that you can sort of flip the switch and sell to existing customers?
Will Marshall: Yes, absolutely. And we've thought about this a lot. Obviously, we designed it thinking about all of our customer needs. And I want to point out right out of the gate that this is not just about defense and intelligence. We've seen value propositions in disaster response from civil government who was interested in the rapid revisit, we've seen interest on the mapping sector. One of the interesting thing is just – for example, is that when you get down to about 30 centimeters, you can see lane marking. So, mapping companies and governments are interested in that.  So, we took all those interests and, of course, defense and intelligence, which often drives resolution on these systems, as well as revisit rates and pull them into a system that we thought would be able to supply and enable new and great services to all of those sectors. And we're seeing that pull. We've obviously designed that with that in mind. And as I said, we can flexibly build those to that demand. We've got a base band and we can add more as needed.
Chris Quilty: Congrats again on the EOCL award. 
Operator: Our next question is from Noah Poponak with Goldman Sachs.
Noah Poponak: One of the other companies on EOCL put out like a pretty detailed press release with a lot of numbers, even held a conference call about it. What is the reason for not providing that disclosure on sizing what that means for your business?
Will Marshall: Well, broadly, firstly, let me say, we're very, very happy with this award. It's very exciting. Biggest Planet contract ever. And it came in, as Ashley mentioned, towards the top end of our range, and so we're very excited with it.  We're sharing the firm commitments commitment here, which we think is the right thing to do. The contract is flexible to allow multiple different options. But yeah, we are very proud of that contract and how we can serve the government.
Ashley Fieglein Johnson: And I think, Noah, the challenge for us was being in a quiet period ahead of having announced our Q1 results and working through the impact of the award on guidance and getting all that information out together impacted the timing of when we provided the additional color around what goes into backlog. So that's the primary driver. We figured the awards most relevant in the context of what it means for our guidance. 
Will Marshall: Dose that answer your question?
Noah Poponak: It does, to a degree? Yes. Since you've quantified the impact to your backlog, can you just give us your updated backlog? I don't think I've seen that.
Ashley Fieglein Johnson: I gave remaining performance obligations, which is the disclosure that's in our 10-Q. So that was $152 million as of April 30. And then, we spoke to the fact that the firm contracted part of the award is roughly $146 million. So as I said, it roughly doubles. Backlog is just modestly different from RPOs, in that backlog excludes those that have termination for convenience provisions, which some government contracts do have and this one does have. So, it's not clear to me that this will go into necessarily RPOs since that excludes anything with a term for convenience clause, but it definitely goes into backlog. So, we'll likely be reporting both of those numbers going forward. Historically, there hasn't been a big difference between our POs and backlog.
Noah Poponak: And the $152 million is before or after the EOCL?
Ashley Fieglein Johnson: The $152 million is before, as of April 30, but EOCL award didn't come in until the Q2.
Noah Poponak: And EOCL effectively doubles the $152 million?
Ashley Fieglein Johnson: $146 million is almost as much as $152 million and it gets added to it. So it doesn't account for any puts and takes to RPOs that happen in Q2. But that was the rough math we're trying to provide.
Noah Poponak: Sorry, I missed what the $146 million was. Okay, that is helpful. I appreciate that. You had indicated previously that your guidance for the year was conservative with regard to both timing and size of the range of possibilities on EOCL. Today, you've raised your midpoint by $2 million. I guess that's a little surprising that that's not – I guess that size is a bit surprising if you were previously conservative on timing and size, and you're saying to – the timing, I guess, was on the conservative end, but the size was larger. Is there something else that's moving around in the year outside of EOCL?
Ashley Fieglein Johnson: There are a lot of moving parts, as I've mentioned before. Revenue is really driven by the timing of all new bookings. Obviously, this was a sizable one, but we're seeking to continue to add business to our book of business that will drive revenue in the year, most of them on a ratable basis. So when you see us tightening the range from $170 million at the bottom end up to $177 million, that's reflective of having derisked a portion of that with knowing this award. We obviously are still going to be driving bookings in there that should drive revenue, which kind of makes up the remainder of the range and the guidance, if that makes sense.
Noah Poponak: It does. Okay, last one. You have a separate release on the expansion of the relationship with Bayer. Can you talk a little bit more about that? Is that is that a meaningful change in the work scope there or the revenue contribution? Or is it more of an ongoing continued type of thing?
Will Marshall: Well, it's a meaningful expansion of that partnership. Really, really. We have been working with them for a while, but it's a meaningful expansion. And it's mainly about scaling up of their present capabilities. So, this is all in precision agriculture, digital solutions, also a little bit into sustainable agriculture. They have a big push in sustainable agriculture, although that effort is still more nascent. There's still a lot of expansion in that account and we're very excited to be partnering with Bayer. 
Operator: [Operator Instructions]. Our next question is from Jeff Van Rhee with Craig-Hallum Capital Group.
Jeff Van Rhee: Just a couple of quick follow-ups. Ashley, do you have the RPOs for the prior year? So the April 21 quarter, both 12 month and total?
Ashley Fieglein Johnson: Yes. I'm sorry, I'm looking at making sure I'm looking at the right number. So, that says – I have it as the end of last year, but is this publicly disclosed number? Yes. 
Will Marshall: Yeah.
Jeff Van Rhee: I can maybe ask…
Ashley Fieglein Johnson: I guess what I'll tell you is, the next 12 months number on RPOs is up about 37% year-over-year for Q1. 
Jeff Van Rhee: Will – or I guess for both of you. You commented on bookings. I think, Will, you said you're super happy – very happy with the sales execution. Again, can you put a finer point on? I'm assuming that means they the bookings range of expectations of what you're looking for in the quarter. But just dial that in a little more. How good was actual bookings here, maybe compared to any prior period or something?
Will Marshall: Well, as Ashley mentioned, they did really well in all the different geographies. What I'm pleased about is a little bit more higher level than that. We said we would accelerate revenue growth, and we're on track to doing that. And that wasn't a given. It was our expectation based on strong execution plans for that team. Again, I just feel that team, not just the sales reps that are out in the field, are performing well, but we built up the machine to do those transactions really at the back end, build up customer support and other things, so that our NPS scores are improving, our customer success is just doing really well. And so, I feel very good overall about the quality of that team. And obviously, that has resulted in us executing against this plan. And the word on track really resonating, right? It's exactly what we said we'd be doing. And now, as a result, we can tighten up the full year range, as Ashley was just commenting on
Jeff Van Rhee: Last for me, just on the EOCL, to your point you're sharing firm commitments, so have chosen to share a broader, more aspirational number, I guess. But if you think in that direction, you've given us the firm commit, but what are the paths to expanding it beyond the firm commits? I'm just wondering what – how much of a stretch it is to see that thing get larger, even meaningfully larger over time?
Will Marshall: Well, it's a great question. There's quite a lot of flexibility the NRO has into that contract vehicle to expand, so they can add packages and different products, they can execute change orders, exercise new options, including extending that deal for up to a total period of 10 years.  What I see is most exciting about this award is it's really how the NRO has embraced leveraging Planet's capabilities pretty much as they are, so they're buying our capabilities as they are. And it's our three main capabilities, the SkySat rapid revisit, the daily scan, and the archive access. And those three things are all unique for the NRO. And so, the SkySat provides more rapid revisit than any other system – satellite system. The daily scan is completely unique in scanning. And that is a new capability for them, finding new threats around the corner. The archive enables this sort of forensic understanding and going back as a time machine to understand threats and how they evolved.  And so, really what they're buying from Planet is really quite differentiated and unique, and the fact that they're buying it at such a scale and with such a commitment is really, really pleasing to us. And, overall, so the future options that I was just talking about and how they can add, I'm just confident based on this that as we develop new capabilities, the government will buy them.
Operator: Our next question is from Caleb Henry with Quilty Analytics.
Caleb Henry: Just a straightforward question that if people haven't seemed to want to ask. What is the maximum possible value for the 10 years?
Will Marshall: Yeah, we’re in the business of reporting firm commitments here. So that's what we're providing. Obviously, I can't speak to other companies and their approaches on this, but I suspect it probably relates to the fact and the feature that we've explained about Planet is that we are a diversified business and not dependent on any one vertical market, let alone one contract. And so, we think the right thing to do is provide the firm commitments and that's what we're doing here as we would for any other business.
Caleb Henry: Okay, figured I would ask. So, your presentation has D&I as 30% of revenue in the quarter. Just wondering if you could share, like by the end of this year, what is that going to look like as EOCL starts rolling in? I guess, will it like more than half of Planet’s revenue by then?
Will Marshall: No, no. Just roughly speaking, we feel that the overall numbers won't change that much. They will change a bit quarter to quarter, but we're not expecting it to be changing macroscopically from the rough ideas that we gave you before, which is roughly half commercial, roughly half government and the government is split roughly evenly between civil and defense and intelligence. They may change a little bit from time to time. But we don't expect over the long arc for them to change materially from that. I don't know if you've got anything to add to that, Ashley.
Ashley Fieglein Johnson: No, I think that's right. In the near term, we're obviously seeing a lot of demand, not just from the EOCL contract, but from other government customers with the situations going on around the world, but also a lot of demand on the civil government side. But concurrent with all of that is a lot of expansion within agriculture. We talked last quarter about some of the new business that we're seeing in finance and insurance. So the expectation is, over the over the long term, the diversification of the business will only increase.
Caleb Henry: Can you give an update on the Carbon Mapper program? I think there's supposed to be two satellites that launch next year. Is that still the plan? And are there plans still for a larger system there?
Will Marshall: Yeah, great question. And we're very excited by our Carbon Mapper program. It's going well. It's early days, obviously, in the program and developing those capabilities alongside NASA JPL and the consortium of NGOs that are working with us on that program. It's really a quite unique program. It’s the first of a kind in doing hyperspectral imagery at that scale and sensitivity. And we've talked about the main goals being to do with detecting methane and CO2 point source emitters. It has a number of other benefits also in the biodiversity tracking. Look, as we move to a sustainable economy, as the secular trend that we've talked about as a tailwind there, the world needs better and better measurement on these things. And this is just exactly what we're trying to provide both for civil government, for the energy sector and so on. So, very excited about that program. And, yes, it's on track to still launch the first two satellites next year.
Caleb Henry: Just two more questions for me. The first is about Pelican. I thought they're supposed to have crosslinks on board, the FCC application indicated that they would be mainly for tasking, but also kind of different from what I've read in the press. I think the FCC filing was C-band crosslinks. Press said Ka with the possible route to optical. So, can you kind of clarify which one it is, or at least what it'll be initially and if it's just for tasking or if you envision that being used for more data transfer and various purposes?
Will Marshall: We do envision it to be being used for both purposes. We haven't gone into great detail into that as yet. We will be talking to that more in time as those details become firm, but we are adding crosslinks to reduce latency overall and that's a very exciting development.
Caleb Henry: My last one. So, the US government is becoming slightly more approving of 10 centimeter resolution imagery. Does Planet have any plans to go lower in terms of resolution beyond the 30 centimeters afforded by Pelican?
Will Marshall: Look, we're going to constantly improve in all of the dimensions of resolution, which is spatial resolution, temporal resolution and spectral resolution. And so, yeah, I would anticipate that in the long arc. Obviously, we're just building this next study centimeter system. So, we're focused on that in terms of the resolution space. On the spectral resolution, I just talked about Carbon Mapper and how we're going up to a hyperspectral system. That’s over 400 spectral band system. And on the temporal resolution, we constantly increase with Pelican also heading towards, as I mentioned, 12 revisits in any place on the earth and up to 30 revisits in mid latitudes, which is an unprecedented revisit rate.  So, my point is that we're constantly increasing all three axes at the same time. And just as importantly, we've really got our biggest focus now on the software side to add capabilities to extract out information from the services, merge them and fuse them and extract that information. So that's just as important a focus. But, yeah, to answer your question, yes, ultimately, we will continue to go up in resolution.
Operator: There are no further questions waiting at this time. So I'll pass the call back over to the management team for closing remarks.
Will Marshall: Thanks, operator. And so, maybe I can just end with three key points that we’re conveying here. I feel like, firstly, we've had very strong execution. I'm very pleased with the Q1 results, and especially the accelerated growth of the top line, which is really exactly on track.  Secondly, the landmark award, which underscores this, and we're not only thrilled with that award – and by the way, it starts tomorrow. So we're very excited to start executing for the customer there. And really strengthens our visibility.  And then, the third point I'd leave you with is that we're seeing growing demand across all vertical markets. I mentioned that in agriculture, I mentioned that in defense and intelligence, civil government. And this is sort of bolstered by the secular trends that we've been speaking about for a number of quarters now.  So, thrilled with the results. Proud of the team that have made it happen. And so, yeah, thanks for tuning in and see you next time.
Operator: That concludes the Planet Labs PBC first quarter of fiscal 2023 earnings call. Thank you for your participation. You may now disconnect your lines.